Operator: Good day, and thank you for standing by. Welcome to PrairieSky Royalty Limited Fourth Quarter and Year-End 2025 Financial Results Conference Call. [Operator Instructions] Please note that today's conference is being recorded. I will now hand the conference over to your speaker host, sir Andrew Phillips, President and CEO. Please go ahead, sir.
Andrew Phillips: Thank you, operator, and good morning, everyone, and thank you for dialing into the PrairieSky Year-End 2025 Conference Call. On the call from PSK are Pam Kazeil, CFO; Dan Bertram, CCO; and Mike Murphy, VP of Geosciences and Capital Markets; as well as myself, Andrew Phillips. Before we begin, there are certain forward-looking information and statements in our commentary today, so I would ask listeners and investors to review the forward-looking statements qualifier in our press release and MD&A, which can be found on our website. 2025 was a successful year for PSK on all fronts. We achieved 6% oil growth over the year, reaching a record 13,940 royalty oil barrels per day. We expect further records in 2026. Our PDP reserves grew alongside our oil production at over 7% year-over-year. Leasing activity remained robust. The company entered into 189 lease arrangements with 90 distinct counterparties. Leasing continues this year at a similar pace. On the capital allocation front, we executed on $100 million of acquisitions with excellent projected returns. In addition, we canceled 2.6% of the outstanding shares of PrairieSky while paying $243.4 million in dividends. Looking into 2026, the team will continue to focus on leasing our leading undeveloped land base to qualified counterparties across the basin. Over the year, numerous discoveries and pool extensions were found across our extensive portfolio with decades of remaining inventory on some of North America's most economic plays. With 98% operating margins and unmatched duration, we're in a position to provide strong returns to our owners in the coming years. We're pleased to announce a 2% increase to our annual dividend to $1.06 per share per year, and our first quarterly dividend will be $0.265 effective March 31, 2026. I will now turn the call over to Mike to further discuss activity on our lands.
Michael Murphy: Thanks, Andrew. 2025 drilling activity was strong for PrairieSky with an estimate of $2 billion of gross third-party capital spent on our lands. This represents an estimated 8.3% of total industry conventional CapEx in the basin, and this is up from 6.9% in 2024. Activity was especially strong in our key oil growth place, including Clearwater spuds up 9% year-over-year, Mannville Stack up 11% and Duvernay up 67%. Multi-laterals continue to drive increased productivity per well with 80 multi-lad spud in Q4 and 285 spot in all 2025, representing 40% of all drilling activity on PSK lands up from 36% in 2024. We now estimate half of our Clearwater volumes are under waterflood support, providing for a highly sustainable low decline production base. Improved recovery contributed to a 42% increase in Clearwater 2P reserve volumes year-over-year. Clearwater royalty oil production has grown at a compound annual growth rate of 20% since 2022, and we expect double-digit growth from the play again in 2026. In the Duvernay, royalty production increased 90% year-over-year with growth primarily attributed to activity in the West Shale Basin with sizable third-party operator budgets in this part of the play this year, we expect the Duvernay to once again represent the fastest-growing play for PrairieSky in 2026. I'll pass it over to Pam to discuss the financials.
Pamela Kazeil: Thank you, Mike. Good morning, everyone. PrairieSky's 2025 oil royalty production reached a record annual average of 13,940 barrels per day, a 6% increase over 2024 with Q4 volumes averaging 13,750 barrels per day. Growth in oil royalty production was focused in the Clearwater, Mannville Stack and Duvernay oil plays, which now represents 29% of our oil royalty production up from 25% in the prior year. We also achieved 17% growth in NGL royalty production in Q4, with production averaging 2,915 barrels per day. This growth was driven by Duvernay and Montney volumes and positively impacted our NGL realized pricing as pentanes and condensate made up approximately 35% or over 1,000 barrels per day of these volumes. With a strong fourth quarter, NGL royalty production grew 5% year-over-year. Total royalty production was 64% liquids for the year. Royalty revenue totaled $102.9 million in the quarter and $441.7 million for the year, which was 94% liquid. Other revenues added an incremental $8.8 million in the quarter and $36.5 million for the year, driven by bonus consideration of $22.6 million. During the quarter, PrairieSky settled the deferred share units for directors who retired last year of $7.2 million. Directors had until December 15, 2025, to exercise their DSUs. Funds from operations totaled $80.5 million or $0.35 per share in the quarter and $353 million or $1.50 per share for 2025. Looking forward, PrairieSky's 2026 annual pricing sensitivities, which are all net of G&A and taxes are as follows. A $5 per barrel change in U.S. dollar WTI would increase or decrease funds from operations approximately $24.5 million. A $1 U.S. change in the light or heavy oil differentials will increase or decrease funds from operations approximately $5.5 million. A $0.25 per McF change in AECO would increase or decrease funds from operations, approximately $4 million and a $0.01 change in the U.S. to Canadian FX rate would increase or decrease funds from operations of approximately $4 million. Entering 2026, we have tax pools of $1.18 billion to shelter future taxability at approximately 10% per year. This means that in 2026, the first $118 million of cash flow is tax-free with incremental cash flow tax at 23.5%. We prepared a 2025 U.S. tax information and our 2025 dividends will be a 44% return of capital for U.S. investors. This information can be found on our website. We will now turn it over to the moderator to proceed with the Q&A.
Operator: [Operator Instructions] And our first question coming from the line of Michael Harvey with RBC Capital Markets.
Michael Harvey: Yes, sure. Just a couple of quick ones. First on the West Hale Duvernay, volumes almost doubled this year. It looks like this year, you could be in a position where you kind of get broadly similar growth percentage-wise numbers. Just wondering if you would generally agree with that or take another view. And then second, on the return of capital program, maybe just remind us the philosophy on the buyback. How sensitive is it to your share price? Or is it just more of a sweep if there's looking to be excess cash at the end of a particular quarter?
Andrew Phillips: Thanks for the questions. Yes, on the Duvernay, we don't obviously provide specific guidance for plays or guidance in general, but there will be strong growth associated with the Duvernay. I think one of the things you'll see is a little bit more volatility in terms of the actual production volumes given that like in Q3, we got substantial pad that came on and we had a big bump in our volumes. But I think overall, over the years, you'll get some significant growth out of that. I don't know that it will be just under 100% growth this year, but it will be very strong growth. And it really depends on when those volumes actually come on with whether -- how they're staggered throughout the year. And then on the return of capital, we obviously have the dividend, which we increased a couple of percent -- and then on the buyback, we will buy back stock this year. We have a buyback in place currently. And when we think about the business and we look at kind of terminal values, et cetera, we come to a share price that's a multiple of our current share price. So we believe there's good value anywhere in these ranges. So we will be occupying back shares when we come out of blackout.
Operator: Our next question coming from the line of Jamie Kubik with CIBC.
James Kubik: Can you just talk a little bit about the trend that we saw in the quarter with respect to oil volumes checking back a little bit and how we should think about the profile for PrairieSky in 2026. And then lastly, can you just talk a little bit about the average royalty rate being drilled in the profile right now and what that might mean for 2026 and onwards?
Andrew Phillips: Yes. You bet, Jamie. On the first question on the trending again, you saw that big pad come on in Q3. So we had a substantial spike in our volumes. And so we're well ahead of our own internal estimates and analyst estimates. And then, of course, those wells come on with a very high decline. So you saw the declines in Q4. We have a number of new pads coming on throughout the year in 2026. So you will see those kind of a little more volatility, I guess, in the volumes. But I think on average, we'll see similar growth rates. So on the trending, I guess, that's just one thing to expect. In the past, if you go back 3 years, you've seen very ratable growth, mostly due to very kind of predictable pads coming on throughout the Clearwater and the Mannville Stack and very predictable volumes. And then with the Duvernay adding to that and being a big part of the growth, you get these very substantial volume spikes and then some substantial declines, of course, that come alongside with it. So I think you'll see volatility. But in the end, it's a good news story because it will smooth out over the year. And then the second question. Sorry, what was the second question? Oh, yes. Yes, on the average royalty rate is down like 0.2%, I think, on the well spud in Q4. We do expect some volatility in that as well. But as pretty usual, I think it will kind of average north of 6% throughout the year. We just don't know exactly how that will come on, and it depends on the seasonality of drilling and where those wells are drilled. But some of the longer laterals you're seeing in the Duvernay, they're slightly lower. But again, we have a high royalty rate there. So those should come on slightly higher royalties. And then the Viking, of course, in Q3 will add to that when they're mostly 17.5% royalties. But again, I think you expect a similar average royalty rates to 2025.
James Kubik: Perfect. And could you also talk a little bit about the outlook perhaps that you might have for the Mannville Stack and the Basal Quartz for 2026? Obviously, good growth in Duvernay and Clearwater in 2025. Can you just talk a little bit about maybe what has you excited in the Mannville Stack and Basal Quartz?
Andrew Phillips: Yes, you bet. So in the Mannville Stack, we were about 200 net royalty barrels in 2022. That's grown all the way to just under 1,000 net royalty barrels. We are seeing very robust programs throughout that area from a number of privates, including the lineup in Caltex Trilogy as well as Canadian Natural Resources has licensed a number of wells on our lands that haven't come on yet. So we are expecting pretty strong growth in the Mannville throughout the year. I don't know exactly what that number looks like, but it will be substantial And then the Basal Quartz for the first time we ended it as a segregated play in our corporate presentation. And you can see that volume has been roughly flat. We have done a number of acquisitions, just given the really high-quality operators that we're dealing with there, as well as the robust economics. And just given the gas processing plant that they've acquired throughout the area. They have a lot of access capacity now and has a very strong program coming out of breakup. So we're expecting some pretty strong growth from that play as well. It will certainly be in the double digits, but I don't know exactly what that will look like, and that's a light oil play with liquid search gas. So that's a play that we think will show growth over the next 5 years.
Operator: I'm showing no further questions here at this time. I will now turn the call back over to Mr. Andrew Phillips for any closing remarks.
Andrew Phillips: Thank you very much, everyone, for dialing into the PrairieSky Year-End and Conference Call. And please feel free to call Pam, Mike or myself with any questions you have, and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation, and you may now disconnect.